Operator: Good afternoon, ladies and Gentlemen. Welcome to Research Frontiers Investor Conference Call to discuss results for the second quarter of 2015 and recent developments. During today’s presentation all parties will be in a listen-only mode. [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting at 12:00 PM on August 7, 2015 in the Investors Section of Research Frontiers website at www.smartglass.com, and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecast and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor Provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company’s current beliefs, and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call either in their presentation or as part of the Q&A session at the end. [Operator Instructions] Also we ask that you keep your question brief in the interest of time. I would now like to turn the conference over to Joseph Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joseph Harary: Thank you, Gary. And as Gary mentioned, we’re going to try to answer as many questions over e-mail to us as possible. But if we haven’t, there will be an opportunity later on to get your questions answered. Joining me today is Seth Van Voorhees, who is our CFO and also heads up our VariGuard division. The quarterly result for the second quarter marks the beginning of a major inflection point for Research Frontiers. The most important thing for all of us is revenues. Fee income in the second quarter of 2015 increased by $407,875, or a 103% above the second quarter 2014 fee income of $803,494. Fee income in the second quarter increased by $424,116 from the first quarter of 2015, that’s a 112% increase. These are meaningful increases driven by increased royalties generated from the automotive market and from the use of our glass in the USA Pavilion at the Milan World’s Fair. But I think that it’s also significant to note that revenues do not yet reflect sales from the high volume S-Class Sedan, the three different Textron aircraft models that were announced in May for the upcoming HondaJet. Operating and R&D expenses decreased by about $250,000 in the second quarter. In terms of liquidity and capital resources, our working capital at the end of June was $8.5 million. We have no debt outstanding. And the net cash used in operating activities was $3.3 million in fiscal year 2014. Cash used in operating activities is expected to decline or turn cash flow positive as revenues increased in the future. So, there will be no need that we can foresee for us to raise any additional capital. So what’s been driving all of these activities? Well, it’s been a very busy second quarter and we’ll discuss some of the highlights. In April, Ford revived the Lincoln Continental name and showed at the New York and Shanghai auto shows their new Lincoln Continental concept, which had an all SPD-SmartGlass roof. And we even appeared by name in their brochure and other marketing materials. An answer to a shareholder question we received, we have not yet received any further updates from Ford beyond what they said about this in their several press releases. In May, the Milan World’s Fair opened and we are the official SmartGlass of the USA Pavilion there. It is the most visited pavilion there and so far millions of people have visited it and had a chance to operate our SPD-SmartGlass. Today, something came out indicating that the SPD-SmartGlass roof was one of the top-five things to see over there. This is the largest SmartGlass roof in the world. Later in May, representatives from the USA Pavilion and Research Frontiers rang the closing bell on NASDAQ in honor of this achievement in Times Square. In June, I met First Lady Michelle Obama there to discuss the benefits of SPD-SmartGlass. And in July, a congressional delegation visited the USA Pavilion. The USA Pavilion has been a very successful project for us in our licensees, and we are planning more events for August and beyond. It has also certainly helped us win the hearts and minds of architects and major developers internationally. It is also expanded from thousands to millions the number of people experiencing what it is like to operate SPD-SmartGlass. During the second quarter, three new aircraft from industry Giant Textron were announced that now use SPD-SmartGlass as standard equipment. These aircraft represent an estimated $1.6 million in annual product sales by our licensee in Inspectech. These will start generating revenue for us in the third quarter. At a 15% royalty rate to Research Frontiers for the aircraft market, we estimate about $150 in royalty income per aircraft window. Of course, each plane is different, but we will assume an average cost per window to the OEM of $1,000, which is actually a fraction of what electrochromic windows sell to the OEMs for, according to our information and estimates. The Textron Beechcraft King Air 250 enters into service for customers in the current quarter, the third quarter of 2015. There are about 25 of these aircraft produced annually and 12 windows per aircraft totaling about 420 windows per year. The next aircraft with significantly higher volumes was announced in May was the King Air 350i, which enters into service for customers next quarter, the fourth quarter of 2015. There are about 70 of these aircrafts produced annually and 15 windows per aircraft totaling about 1050 windows per year. The following quarter, first quarter of 2016, the King Air C90GTx enters into service for customers. There are about 25 of these aircrafts produced annually and seven windows per aircraft, totaling about 175 windows per year. One thing to add about these aircraft other than that they are a really good start is that the King Air 350 used to use electrochromic technology, and this was taken out of the aircraft and replaced with SPD, which has now become the technology of choice for new aircraft. So, what about the future? We’re also standard-equipment on the new HondaJet, scheduled to come out in early 2016, and the Falcon 5X from Dassault, which is scheduled for delivery to customers in 2017. Right now, five aircraft OEMs have signed contracts, three of which have already been announced. Seven of the eight aircraft models that are under contract that use SPD, have it as standard equipment and 17 additional aircraft are under advanced consideration by OEMs to use SPD EDWs or Electronically Dimmable Windows. Some of these 17 models are business jets, some are helicopters, and some are commercial aviation aircraft including both single-aisle and dual-aisle jetliners. So let’s talk about the current quarter and beyond. We mentioned that revenues were up substantially in the second quarter both as compared to the same quarter last year and even the previous quarter this year. But the numbers don’t include revenues from the three Textron aircrafts for the upcoming HondaJet that I mentioned before. These start in the third quarter. Probably the most significant event so far in our history from a revenue standpoint also is scheduled to begin in the third quarter. I’m referring, of course, to the production by our licensee AGC or Asahi Glass Company, of roofs for the highest volume S-Class, the V222 long-wheelbase sedan. In the US, you see these all over the road under the more familiar name plate the S550. Let me help put this in context for everyone. SPD-SmartGlass was introduced in 2011 on the SLK roadster and it expanded to the SL roadster in 2012. Total annual production of these vehicles combined is about 30,000 vehicles. We have given guidance that we receive a royalty of between $100 and $150 per car for these roadsters. Now, if we look at the two S-Class variants that have already been introduced with our technology, the S-Class Coupe in the fourth quarter of 2014 and the S-Class Maybach which was introduced in the second quarter of 2015. This represents total annual production of about 20,000 to 25,000 vehicles. So, they’re similar in volume to the roadster market. But because of the greater surface area of SPD-SmartGlass on each vehicle, we receive a royalty of between $150 to $250 per car. It is encouraging to note that Mercedes has already purchased a multiple of the roofs with our technology above their originally estimated take rates for the S-Class Coupe. And the S-Class Maybach is selling in China alone more cars in a month than they used to sell worldwide in a year. So, we’re off to a very good start and the increased automotive royalties in the second quarter reflect this. But if the four models I mentioned, the SLK, the SL, the S-Class Coupe and the Maybach represent a total of about 50,000 cars per year in total annual production, the highest volume variant of the S-Class the V222 or the S550 as it’s known here in the U.S., represents about 80,000 to 100,000 vehicles. As we noted in our 10-Q that we just filed on Tuesday, we expect production of roofs for this highest volume version of the S-Class to begin in the current third quarter. Depending on the take rates for the V222 S-Class Sedan, this car alone can make us profitable. With that, I would like to open up the conference call to some live questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Our first question comes from Michael Kay with Kay Associates. Please go ahead. Mr. Kay, your line is open. I’m sorry, Mr. Kay, your line is not open. The first question comes from Jeff Harvey, a private investor. Please go ahead.
Unidentified Analyst: Hi, Joe.
Joseph Harary: Hey, Jeff, how are you?
Unidentified Analyst: Good. Glad to see some good revenue coming in. A couple of things. First of all, I think, it’s time to actually put out a press release to the newswires rather than just file a 10-Q. I think it’s time to let to these newswires see what’s going on with the company. So I would encourage you to do that in the future.
Joseph Harary: Yes. Thanks, Jeff. And also in that respect, I’d like to announce to the call that we had retained the MZ Group as an investor relations firm. And they specialize in presenting emerging companies, especially, licensing companies like ours to the market. We asked around some of our larger institutional investors who they get their best ideas from and MZ Group's name came up consistently. So we’re very excited not only to do what you suggest, which is to start issuing press releases about revenues. But also to now bring the story to a wider audience of very sophisticated longer-term institutional investors.
Unidentified Analyst: Well, I’m glad to hear that, that’s good news. Secondly, can you give us any update or any insight as to the other automotive manufacturers such as BMW or Audi, who may obviously maybe looking in this technology?
Joseph Harary: We’re working, Jeff, with all of the major premium OEMs in the world. And some of them since the success of the S-Class is just beginning to become apparent to them, have come up with some interesting additional ways of using our technology. So in addition to what I consider the lower-hanging fruit, which is the roof glass because of the heat benefits, and the ability to have drivers be better connected with the outside world. We’re starting to see actually some real creative thinking among the premium automotive engineers out there. So, I think, if we have to project out a couple of years, of course, we’re going to see a number of different OEMs have SPD in the roofs. But I think you’ll see some interesting other applications as well.
Unidentified Analyst: Great. Thank you. You’re doing a great job. Thanks, Joe.
Joseph Harary: Thanks, Jeff.
Operator: [Operator Instructions] The next question comes from Michael Kay with Kay Associates. Please go ahead.
Michael Kay: Hello, Joe, very nice increase in fee income. But the – since the – a good part of the increase was due to the architectural roof at the pavilion. So that that would be looked upon as a nonrecurring source of income, is that true?
Joseph Harary: Right, but almost as much came from other sources, so, we’re very excited about that. And as I mentioned when you consider that, we haven’t began yet to see the revenues from the V222 S-Class or the Textron aircraft. I think it’s a nice pleasant surprise for everyone. And it also is something that we’ve all been waiting for. We indicated that as we get closer to the introduction of those models, you’re going to expect to see a ramp up of revenues begin.
Michael Kay: And is there any, I think that really in the long-run, the architectural market would be really the major source of fee income. Is there any indication that some major architectural and construction firms have decided to use SPD in some other major projects?
Joseph Harary: Well, one of the reasons that we were very excited about our participation with the USA Pavilion is it does get worldwide attention. I was just told this week that we’re on the shortlist that – for an architectural award because of the USA Pavilion. And, of course, there is no guarantee that will win. But I happen to think that we have the coolest stuff out there. But we also have seen a very noticeable uptake in architectural projects. They certainly are much larger and much more higher profile than what we use to see. And I attribute a lot of that to the fact that architects and designers and developers can experience SPD-SmartGlass some – first hand. I was – when I was there at the USA Pavilion to visit Michelle Obama, I had to come a day earlier because of the time she was arriving. And I attended one of the terrace talks that they had there, which was quite interesting. They had terrace talks about a variety of very important subjects and they were lot like TED Talks. And sitting next to me was a couple that was enjoying the SmartGlass that was above their head. And they didn’t know who I was, and I did not know who they were. But we started talking about the glass, and it turned out that they were principals of one of the major developers in the southern hemisphere. And since then we certainly have received specific projects from them. So you start to see the real benefit of what is like to be in a structure that has the SPD-SmartGlass, appreciate the heat control benefits, and the other benefits, and then figure out fairly quickly how you’re going to deploy it. So, it’s definitely been a very good high profile project for us to generating architectural interest. To add to your more specific question, it’s very hard to predict whether the automotive market will eventually be overtaken by the architectural market. The automotive market has pretty substantial volumes. And if we follow the path that other technologies that were introduced into the automotive market have followed, if you consider that the premium market represents about $250 million revenue opportunity for Research Frontiers. And that only represents 3% by volume roughly of the automotive market. Moving into the mid-level market, which we anticipate like other technologies we will do, can generate substantial revenue for Research Frontiers as well. So, I hope that all the markets become huge and try to overtake each other. But right now our focus and I think the world’s focus should be on the automotive market.
Michael Kay: Has there been additional reductions in the price of SPD film, or is that stabilized, the SPD?
Joseph Harary: You’ve seen a steady decrease in the cost of the film and the end products they use it, and that’s something that’s fairly predictable among technology-based products. So it’s something that we all plan around and we’ve been achieving.
Michael Kay: Okay. Thanks for your patience. And the last question is, has there been any progress made, since the last time we spoke, regarding getting an additional company to mass produce SPD maybe one located on in the United States?
Joseph Harary: That’s very much well underway, and part of our strategic plan, but not something that I comment about when competitors of theirs might be on the call, as well.
Michael Kay: Thank you very much and regards to donut.
Joseph Harary: Thanks, Michael. Thank you.
Operator: The next question comes from Ronald Rosato with Capitol Securities Management. Please go ahead.
Ronald Rosato: Hello, Joe. How are you?
Joseph Harary: Hey, Ron. How is it going?
Ronald Rosato: It’s really nice to see the beginning ramp up of revenue, very nice.
Joseph Harary: It sure is.
Ronald Rosato: Automotive is very exciting obviously, and that’s where most of the revenue would probably come from. But aircraft is starting to get me excited too. And you did mention that there was an OEM that was putting them in commercial, and you said they were a single-aisle and a double-aisle. Did you mention what OEM that was?
Joseph Harary: No, I didn’t, nor can I. What we said was that, we kind of broke down the universe of what’s happened in aircraft by contracts that have been announced, contracts that have been signed that are not announced, and then what we – which is eight different models have been contract signed for. But then, we also have a category of aircraft that are under advanced consideration. And these are things that are not just say, we have this cool technology, but things where you’re getting at the RFQ stage with the OEMs, and there they’re 17. And as I mentioned, that includes general aviation, helicopters, but I think, if you look at the overall market, while the general aviation and helicopter market can be significant for us. The transport category, the jetliners basically represent by far the largest market. And in that 17, there are some single-aisle and dual-aisle jetliners that are considering this.
Ronald Rosato: Perfect.
Joseph Harary: I guess not to belabor the point, but if you look at up until May of this year, there were two aircrafts that had featured electrochromic, which is a competitive technology to ours, as they’re EDW they’re Electronically Dimmable Window. There is a 787 Dreamliner and there was the King Air 350i. And one of them, the 350i has now switched to the better performing, and based on our information less expensive technology. So I think that’s a very good sign for all aircrafts out there.
Ronald Rosato: I agree, Joe. Thank you so much and good job.
Joseph Harary: Thanks, Ron.
Ronald Rosato: Okay.
Operator: The next question comes from Doug Brown, a private investor. Please go ahead.
Unidentified Analyst: It was just asked and answered. Thank you.
Joseph Harary: Oh, good. Thanks, Doug.
Operator: This concludes our question-and-answer session. I’d like to turn the conference back over to Joseph Harary for any closing remarks.
Joseph Harary: Thanks, Gary, and thank you, everyone. Research Frontiers licensees now sell the most smart windows in the world. But with the introduction of SPD smart windows, as standard equipment on aircraft and the production of the Magic Sky Control, SPD SmartGlass roof, estimated to start this quarter on the new highest volume – highest unit volume version of the S-Class Sedan. Research Frontiers has clearly reached and moved beyond an important inflection point in our business. And while I’m not singing it, I can certainly quote Frank Sinatra, when I say that to summarize the best is yet to come. Together, Research Frontiers, our shareholders, and our licensees, and their customers have built a world where millions of people have already enjoyed the seemingly magical and certainly practical benefits of SPD-SmartGlass technology. And with more high volume cars, aircraft, and large architectural projects coming, these benefits will continue to be enjoyed and valued worldwide. Thank you for your support and your participation in today’s investor conference call. And I look forward to continuing to share good news with all of you. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.